Operator: Good morning and welcome to the Berkshire Hills Bancorp Q2 Earnings Release Conference Call. Please note this event is being recorded.I would now like to turn the conference over to Erin Duggan, Investor Relations Manager. Please go ahead.
Erin Duggan: Good morning and thank you for joining this discussion of second quarter results. Our news release and a presentation outlining our ongoing strategic review, which we will discuss today is available on the Investor Relations section of our website, berkshirebank.com, and will be furnished to the SEC.Our remarks will include forward looking statements and actual results could differ materially from those statements. For detail and related factors, please see our earnings release and most recent SEC reports on Forms 10-K and 10-Q. In addition, certain non-GAAP financial measures will be discussed on this conference call. References to non-GAAP measures are only provided to assist you in understanding Berkshire's results and performance trends and should not be relied upon as financial measures of actual results or future projections. A comparison and reconciliation to GAAP measures is included in our news release.And with that, I'll turn the call over to CEO, Richard Marotta.
Richard Marotta: Thank you, Erin. Good morning everyone and thank you for joining us today for our second quarter earnings call.With me this morning are Jamie Moses, our CFO; Sean Gray, our President; Georgia Melas, our Chief Credit Officer; and George Bacigalupo, our Commercial Leader. I'll begin the call today with a high level overview of the quarter and then turn it over to Jamie, who will dive deeper into our results and provide an update on our ongoing strategic review.We had a good quarter. Our earnings were in line with our expectations as we completed our acquisition of SI Financial and made good progress on our strategic initiatives.In the second quarter we delivered $0.65 in core EPS and $0.52 in GAAP EPS, the difference being outlined in the earnings release table. Our NIM came in at 3.19% and included 11 basis points of benefits from purchased loan and time deposits accretion.The integration of SI Financial operation has started smoothly for us and remains on plan. We've been impressed with the talent and customer focus manner at which they operator, as well as their enthusiasm to expand their businesses.We continue to deploy resources to work with their teams prior to our systems conversion which is planned for October. SI Financial added approximately $1.7 billion in assets to our balance sheet, with 18 branches in Eastern Connecticut and five in Rhode Island.We've experienced positive deposit growth in those markets thus far and we look forward to capitalizing on new opportunities the markets and teams provide us and anticipate to achieve our projected cost savings on schedule.As Jamie will discuss shortly, we've continued to move forward with our strategic initiatives that begun to see results from our efforts. We plan to continue to build on this momentum and to meet the goals we set forth last quarter.Overall, we're pleased with the progress we've made towards our financial and strategic goals for 2019. I talked a lot about our culture and core values over the past few quarters and we are beginning to see the untapped potential of diversity. Building trusting relationships with all of our communities will help us bank the growing number of millennials and people of color throughout our footprint.In the second quarter, we officially launched our Be FIRST internal values as well as our Be FIRST commitment to the communities we serve. We are investing in not only our outward facing products and work, but also in building our internal capacity and diversity.Through our Be FIRST programs, we have established our concept for community store fronts to be based on MyBankers success, develop new community deposit loan products and established a bank level diversity and inclusion committee.I am proud to say that, during the second quarter, Berkshire Bank was named a 2019 recipient of the North American Employee Engagement Award for Social Responsibility and Work. Berkshire beat out global companies across many industries in winning this honor. A true testament of the strong work environment dedicated to service and culture.Now I'm going to turn the call over to Jamie. Jamie?
Jamie Moses: Thanks, Richard, and good morning, everyone.I'm going to begin with a few comments around the second quarter and then give an update on our strategic initiatives, at which time I'll direct my comments to the presentation that was posted to our IR website.As Richard said, we delivered $0.65 in core EPS and $0.52 in GAAP EPS with a difference coming from our SI Financial acquisition and restructuring efforts. During the quarter, we saw improvement to our capital and liquidity metrics.At this point we are roughly 60% through our projected SI Financial merger costs with the remainder of those expected to come through in the back half of the year. This merger strengthens our balance sheet as we move forward with our plan. The economics of this deal remain strong.We had expansion in our core profitability metrics as core ROA was 101 basis points, up from 92 in the first quarter; and return on tangible common equity was 12.2%, up from 11.4% in the first quarter.GAAP ROA was 79 basis points and GAAP ROE was 6.1%, due to the impact of merger related and other noncore charges as you would expect. Our efficiency ratio improved to 56% from 60% in the first quarter. Loans to deposits were 94% at the end of the quarter, as we move forward with our plan to deleveraging. SI Financial loans and deposits came on at roughly a 100% loan-to-deposit ratio.On the loan side, we reclassified our aircraft portfolio to held for sale during the quarter. Prior to this re-class and excluding SI Financial, commercial loans were down 1% for the quarter as we exited some non-strategic commercial loans as planned.Turning to revenues. Fee income was down from first quarter results primarily in our loan related income, tied to two items. First, recall that we had $1 million in additional SBA fee income in the first quarter related to the government shutdown delaying revenues from the fourth quarter of 2018.Second, we took a $700,000 fair value mark on our back-to-back swap book due to the steep decline in rates quarter-over-quarter. Moving forward, we expect fee income returning to a more normalized run rate.On the expense side; overall, we're pleased with the disciplined quarter-over-quarter as we execute on the strategic plan. With that being said, professional services showed an increase quarter-over-quarter that we expect to move back in line going forward. This was primarily tied to an indemnification claim on a prior acquisition.Overall, we're pleased with our progress and execution during the quarter as we continue to take steps toward repositioning and optimizing our balance sheet, developing high quality sustainable earnings, and driving efficiency through targeted cost reductions while maintaining and enhancing product and services.Turning to the slides and beginning with Slide 3, our balance sheet optimization is on track. The indirect auto portfolio continues to run off as planned and our securities portfolio continues to naturally run off. As I just mentioned, we have moved our aircraft portfolio balance of $178 million to held for sale.Turning to Slide 4. As you can see in our earnings release, the First Choice Loan Services operations had a good quarter, taking advantage of a boost in the refi market due to lower rates. As we said in the past, this is a team of good operators and we continued to receive interest in the operations from potential partners where the strategic fit makes sense.Moving on to Slide 5. We've taken key steps in our expense management initiatives evidenced by our 56% efficiency ratio. We have enacted companywide policy changes, reduced our fulltime organic FTE count by 6% year-to-date and have additional expense management initiatives that will be enacted in the back half of the year. We continue to see improvement as we remain on target and maintain an efficiency ratio in the mid50s by the end of the year.Moving onto capital management on Slide 6. We received regulatory approval for share repurchases in mid June. As of last night, we repurchased 310,000 shares and plan to remain active as a purchaser, again, subject to market conditions.We've modeled our average share count to be around 51.5 million in the back half of the year. Again, that's subject to market conditions. And as a reminder, our Board approved share repurchase authorization includes 2.4 million shares and expires on March 31st, 2020.Shifting gears and looking at the broader picture for a moment. Based on the forward curve, we expect further rate cuts and we've already begun to see the impact of lower short and long-term rates.In this updated environment, we anticipate our reported NIM to remain relatively stable subject of the timing of purchase loan accretion. We remain on track to meet our full year core EPS targets due to the overall benefits of the SI merger and our strategic initiatives.At this time, we cannot provide GAAP EPS guidance due to the impact of noncore items, which includes FCLS.I'll turn it back over to Richard, now, for closing remarks. Richard?
Richard Marotta: Thank you, Jamie.Kicking off the discussion on Slide 7 of the deck and to reiterate what Jamie said, we remain on track to meet our targeted performance goals. This includes a 260 plus core EPS, a core ROA above 1 for 2019 with a focus on improving ROTC over time.During the quarter, we welcomed three new members to our board of directors, Baye Adofo-Wilson, Rheo Brouillard, and Bill Hughes. In addition to provide deeper insights into our newer markets and bring enhanced capacity and new perspectives into our boardroom, including expertise in cyber security and community development financing.In addition, during the quarter, we officially welcomed Malia Lazu to our Management team, as our newly appointed Executive Vice President, Chief Experience and Culture Officer. This position will be instrumental in building on the momentum of our diversity and inclusion initiatives.We also appointed Jackie Courtwright to the position of Senior Vice President and Chief Human Resource Officer. Jackie brings more than 25 years of human resource experience to the position as she leads all aspects of the human resource function.We're moving forward on all fronts. We expect to see strong results in the next several quarters as our initiatives come together to drive value. As we meet with the new networks within our communities, we are beginning to understand the value of inclusion.We're excited to explore the growth potential of our new programs. Our teams are energized and fully engaged within our markets as they continue to focus on building relationship-oriented businesses. There is a lot of opportunity ahead with the SI Financial expansion and our Be FIRST efforts have been met with optimism from our communities and our employees.We are taking key steps in order to fortify our franchise and truly define what it means to be a 21st century community bank. With that, I'll open it up to questions.
Operator: [Operator Instructions] The first question comes from Brody Preston from Piper Jaffray. Please go ahead.
Brody Preston: I guess I just wanted to get a sense on the core NIM. Jamie, you said that it would likely be I guess sort of flat moving forward just given the outlook for the forward curve?
Jamie James: Yes, so the reported NIM, we expect to be relatively flat for the back half of the year. And again, that's going to include purchase loan accretion and CD marks, things like that in the back half of the year.Our core NIM, we expect with rates being cut, we expect that will decline a little bit in the back half of the year, maybe in total five, six, seven basis points something like that. Again, depending on timing and when and if those rate cuts happen.
Brody Preston: And then I guess as we look to fee income, excuse me if I missed that, I hopped on a few minutes late. Jamie, you said you expect fee income to normalize moving forward. What would that run rate look like?
Jamie James: I think we look at that as probably 20-plus when you include SIFI in this deal. So we're pretty confident that that's going to go to the 20 number.
Brody Preston: Okay. And is the impact from Durbin still anticipated to be about $5 million a year?
Jamie James: Yes, we think it's right around there.
Brody Preston: And then I guess moving to the loan growth, I understand that you moved the aircraft portfolio held for sale, I guess even adjusting for that loan balances came in a little bit lower than what I was looking for. So could you help me sort of explain or help me understand what drove the delta and what you would expect for long growth moving forward, should we expect maybe the slower pace of growth to continue?
George Bacigalupo: So for the second quarter, core regional lending was flat. The reductions, as Richard had mentioned, were almost totally in our non-relationship and syndicated lending assets. And so as we move into the third quarter, we're looking to - despite some additional payoffs associated with those non-core transactions, we're looking at a range of probably 2% or so upward for the second quarter.And specifically, we have some good momentum in our business banking in New York, in Eastern Mass, ABL as well as Eastern Mass commercial real estate. So we're fairly bullish on the next quarter.
Richard Marotta: If I can just add one thing, I guess the way I would look at it is our pipeline is strong and robust as it has been. I think we're just being very selective when it comes to the relationship and also the rates on the loans.
Brody Preston: And then I have a question around being, I guess maybe some of the recent hires that you've made. I think - forgive me if I am mispronouncing her name, but I guess Malia Lazu?
Richard Marotta: Malia, Malia Lazu.
Brody Preston: Malia, okay. I just wanted to better understand. I understand that you sort of have a separate business that is focused around sort of I guess diversity and inclusion. I wanted to better understand what some of the, I guess maybe some of the key things she's bringing to the organization in terms of like key steps you're going to implement moving forward?
Richard Marotta: Yes, I guess as we kind of look at into the future and to be in the 21st century bank, part of that whole aspect is to deal with the communities that we service. And part of that those communities or major part of those communities are people of color and just overall diversity.And Malia has built a strong business, and she is a 20-year vet in the Boston and not only Boston but nationally. So what she brings is just the ability to take our vision and then to tick it and tie it back to the communities that we serve.
Operator: The next question comes from Laurie Hunsicker with Compass Point. Please go ahead.
Laurie Hunsicker: I just wanted to go back to your comments on noninterest income. I guess what Brody was asking. And I just wanted to make sure I heard this right; as you look forward, you're thinking that run rate is $20 million a quarter?
Jamie James: Yes, that's right. We think it will be north of that.
Laurie Hunsicker: North of that, okay. So maybe can you help me think about it. So I'm looking at this quarter at 17.5, SIFI comes over, they were running at 2.9, I'm taking out 400 and change for Durbin to 2.3 half a quarter impact. SIFI should only be adding a little over $1 million for your fully baked run rate. I guess what else, so I look at it going from 17.5 to round number let us call 18.5, even 19, I guess what am I missing here?
Jamie James: Well, I don't think - you may not be necessarily missing anything. In that fee income line though we had declined based on a fair market value of our swaps that we don't - typically you're not going to see much movement in that quarter-over-quarter.And so we had this dramatic decrease in rates from end of Q1 to end of Q2. So we had to take a mark on that. So you would add, you sort of just re-add that back in and --
Laurie Hunsicker: The 700 back, got it. Okay, and that's showing up in that …?
Jamie James: Loan-related income line.
Laurie Hunsicker: Loan-related income. Got it, okay.
Jamie James: We also expect to do better in SBA fees going forward in Q3 and Q4. We've made some investments in that business that we really like and we expect to see the payoffs on those to start to happen in the back half of the year.
Laurie Hunsicker: And then just to go back to your comments on margin, can you help us think about you know sort of the core margin is contracting four or five basis points suggesting that your accretion income in your model is running higher than we were this quarter and $3.2 million, how are you thinking about accretion income just the last two quarters of 2019? And I realize that number can move around.
Jamie James: Yes, the timing on that is a tough one. We don't know for sure. But in our model, we are sort of having the purchase loan accretion remain relatively sub-flat, that's about $2.2 million or so. But then we also had a mark on the acquired CD portfolio that's contributing to the reported NIM as well. And so that added about three basis points or so this quarter to that, roughly double that in Q3 and Q4.And so the accumulation of those purchased loan accounting and deposit marks should keep us relatively stable back half of the year, while the sort of underlying balance sheet is contracting somewhat based on the forward curve.
Laurie Hunsicker: And then tax rate what should you be using going forward?
Jamie Moses: Yes I think 20% for the back half of the year plus 20% for the full year seems about like a good number for us.
Laurie Hunsicker: And then can you just update us I guess where we are with the Taxi book?
Jamie Moses: Sure yes, I’ll kick that over to Georgia she can help you with that.
Georgia Melas: Good morning Laurie it’s Georgia.
Laurie Hunsicker: Hi good morning.
Georgia Melas: Balances are just under 26 million, there is really no material changes to the overall credit of the portfolio. I mean its continuing to perform along our expectations. Delinquency did pick up a little bit from last quarter. However, when we adjust for matured loans that are current with their payments it was actually flat so it's continuing to perform.
Laurie Hunsicker: I’m sorry what is the delinquency number?
Georgia Melas: Well it is a 68%, but that includes loans that have matured that our current. So if you were to back those out it falls back to where we were last quarter which is roughly around the 60% range.
Laurie Hunsicker: And then were there any charge-offs this quarter?
Georgia Melas: No not in the portfolio no.
Laurie Hunsicker: And then same question can you just update on Firestone book, just your loan balance, origination, nonperformers and charge-offs?
Georgia Melas: Yes balances are up slightly from last quarter at 270 million I think it was up about 2% quarter-over-quarter. NPLs are just under 2 million which were down from last quarter and delinquency is at 1.3% or roughly three basis points of the total loan portfolio and minimal charge-off.
Laurie Hunsicker: Okay.
Georgia Melas: And minimal charge-off.
Laurie Hunsicker: And minimal charge-offs, okay, and what were the originations this quarter?
Georgia Melas: I’ve got that somewhere.
Laurie Hunsicker: Maybe when you're looking for that to, could you help what is substandard as we sit as of June 30 total substandard and then also what piece of that is C&I?
Georgia Melas: Well 36 million in Firestone originations for the quarter.
Laurie Hunsicker: Okay.
Georgia Melas: And I’m sorry your question on criticized was that specific to Firestone or?
Laurie Hunsicker: No I'm sorry just over what your substandard is currently running I guess is that comparable at March it was 152 million. And then also I'm looking for the piece that fits substandard C&I only and comparable at March it was around 55 million?
Georgia Melas: Well substandard is flat it was roughly 157 at March 31st and its 158 at June 30.
Laurie Hunsicker: 158 okay and then do you have the piece of that that is not C&I?
Georgia Melas: I do not have the breakout.
Richard Marotta: We can follow-up with you on that Laurie.
Laurie Hunsicker: Okay and then just two more questions I guess when we’re looking more broadly on - at your income statement. You guys are putting a lot into restructuring and some of these are charges I think that other banks would just considered part of operating cost of business. Can you help us think about when that line goes to zero and then how we should be thinking about restructuring expenses for the remainder of 2019?
Jamie Moses: Yes, so that line should go to zero after the fourth quarter of this year right. So this is I would say the restructuring charges that we're putting through this line are related to our strategic review are moving forward with different lines of businesses and getting out of certain lines of businesses that sort of thing. So we should have that completed by the end of the year. So I think first Q 2020 that line should be zero along with the sort of merger and acquisition line as well.Our conversion happens in Q4. So we’re sort of stuck with charges that will tail off into Q4 of this year. But those numbers should go to zero in Q1. And again, I just want to remind that we are likely to have some more branch closures that happened in Q4 as well as that we will likely call that a restructuring charge.
Laurie Hunsicker: And how many branches are you closing?
Jamie Moses: So probably somewhere between two and three.
Laurie Hunsicker: Two to three, okay
Jamie Moses: Still trying to identify which ones and where, but we think that's probably the right number.
Laurie Hunsicker: And that's goes into that number, okay. So then again as we’re looking forward assuming you don't do another acquisition 1Q 2020 March we’re going to see your first clean quarter in terms of restructuring and merger charges in like a decade. Is that the right way to be thinking about this?
Richard Marotta: I think that is the right way Laurie yeah.
Laurie Hunsicker: One more question and then sorry I have taken up a lot of time here. The aircraft leasing sale that’s expected, can you share with us if that’s a gain or loss?
Jamie Moses: I don't feel real comfortable talking too much about that right now in terms of whether it's a gain or loss, but you'll see the impact on the next call hopefully or over the release that - when the thing closes. We'll let you know what the impacts would be.
Laurie Hunsicker: And that's also probably going to run through your restructuring lines as well?
Jamie Moses: I don't think so. I don't think that it will run through the restructuring line.
Laurie Hunsicker: And also I'll pick you on substandard after. Thank you very much.
Operator: The next question comes from Collyn Gilbert with KBW. Please go ahead.
Collyn Gilbert: So may be just starting Jamie with the NIM discussion and I appreciate the colors through the back half of his year. But then as we look at 2020 and if we just assume no - change in the rate environment from the 4Q 2019 position. Can you just confirm what percent of accretion income will go away in 2020 and then very broadly how you think that core NIM can trend in 2020?
Jamie Moses: So almost all of the accretion income will go away in 2020, what's going to remain is an interest rate mark on acquired portfolios which is a very small piece of the overall loan accretion. And in the first quarter and in a small piece of the second quarter you’re also going to get mark income that comes through on that acquired CD portfolio that we have. And again so this quarter that was worth about three basis points on the reported NIM and we expect that will roughly double in the full run rate here in Q3, Q4 and Q1.That was a - not to get too technical around it, but we have that as like 11-month straight line runoff and so at month 11 that income goes to zero on that. So then there will be you know almost I would call it no noise in the reported NIM versus what we would describe as our adjusted NIM. The delta would only be what is in the interest rate mark and we would expect that to be a minimal number and roughly stable and running off over time.
Collyn Gilbert: And then just generally kind of how you are seeing the core NIM or maybe more specifically the movements in the core NIM through 2020 and tying into like strategies on SIFI and all that kind of stuff?
Jamie Moses: Yes, so as we've talked about before I mean the part of the balance sheet restructuring that we're doing is to try to protect our NIM as best as we can. We are at the moment are slightly asset sensitive bank. So the initial rate movements down are going to impact our assets quicker than they will our liabilities. We expect that to abate by Q1 next year and then we would expect that.Last time, we talked about sort of grinding higher basis point-by-basis point couple basis points here quarter-over-quarter based on balance sheet restructuring. And I think that's what we’ll see starting in 2020. We would expect that - core NIM to sort of just rise slightly and slowly over time.
Collyn Gilbert: And then you had indicated sort of 20% tax rate. Can you just give us color as to what that would assume in terms of future tax investments and just where you guys are positioning that for the remainder of this year and into next?
Jamie Moses: Yes, so you were breaking up a little bit there Collyn, but I think the question is around the tax rate and where we're looking at going forward in those investments in general?
Collyn Gilbert: Correct.
Jamie Moses: So in the quarter you'll note - in F9 in the statement you can see the actual breakout of the charge related to the income, the tax credit and the income associated with it. So this quarter we had about $440,000 net benefit to the bottom line because of the tax benefit this quarter. We continue to look at these as relationship deals where we know the operators who are going to do, for example, a commercial real estate deal that historic tax credits might be involved in.We think it's good business if it makes sense from an ROE perspective, we'll do both the loan and the tax credits. And so we think that's good business for us and we'll continue to do those types of things. We do not do any solar tax credits and I think Richard do you have something to add to that?
Richard Marotta: Yes, no the only thing I would add Collyn is just to highlight the point Jamie just made. I mean these are relationships that we are in our footprint. We don't do anything national and we're not just out there chasing tax credits for the sake of tax credits. These are part of an overall relationship we have with the entity or the person.
Collyn Gilbert: And then and I missed you guys, I am sorry I hopped on the call late, if you've answered this already, I apologize. But can you just update us on how you're thinking about buybacks, what your appetite is there?
Richard Marotta: Yes, absolutely. So we've got approval mid to late June for Fed approval to new buybacks. We did about 110,000 in Q2 over the, say, 10 or so trading days. We have done 310,000 in total as of yesterday. We will continue to be in the market as long as nothing crazy happens on in terms of stock price. We'll continue to be in the market. We have 2.4 million authorization from our board, number of shares that expires at the end of Q1 next year.And we continue to believe that we will use that entire authorization. And of course the pace of those things will depend on market conditions. And then the last thing I guess I would say about that is that we really think that this is sort of best use of the excess capital that we have and we will continue to do that over time.
Collyn Gilbert: And then I thought that was going to be my last question but I forgot it. I think I have two more. Just really quickly, on the indirect auto, the 500 million that you're running down, or well it's about 450 left. Is there any sort of seasonality of the way that's going to run off?
Richard Marotta: The only, I don't think seasonality is probably not the right way to think about it but since they are amortizing loans, the runoff will accelerate over time. I think that, so less seasonality and more than just the structure of those loans.
Collyn Gilbert: And then just finally, how are you guys thinking about some of the consolidations occurring in your market? Do you see that as an opportunity to take customers to take lenders or anything that you're seeing kind of on an offensive strategic positioning as it relates to some of your market areas?
Richard Marotta: Yes Collyn, the answer to those questions is yes and yes. So anytime there is a merger or an acquisition or whatever, there is always disruption and disruption, if you play it right, is opportunity. And so we are looking for the clients that aren't happy with the new regime and/or employees that are not happy. So, yes, we are strategic in that regard.
Jamie Moses: I would also just add that when competitors are eliminated that naturally reduces the sort of competition that you have. So that should help on both sort of the asset generation and the liability side of things. Those kind of things.
Operator: The next question comes from David Bishop with D.A. Davidson. Please go ahead.
David Bishop: I got a question, you may not have an answer to it but in terms of the First Choice loan group given what's happening in the mortgage market, is there a potential for a gain in terms of the divestiture for that segment?
Richard Marotta: Dave, I'm not comfortable talking about too much about that. We're in discussions at the moment. So I probably would leave that one on.
David Bishop: Slight uptick in terms of commercial loans or NPAs, just curious some color around that and maybe the outlook for the provision as we head into the back half of the year, maybe 2020?
Georgia Melas: It's Georgia. Yes, we did see, it was about a $5 million increase in NPLs. That is primarily due to one single C&I relationship in our Vermont market. I mean overall though the non-performing loans as a percentage of total loans is basically flat quarter-over-quarter inclusive of SIFI at about 36 basis points. We don't really see anything else going into non-accrual, at least not in the near future. So, I think it's, like I said, it's due primarily to that one loan. And we continue to work off obviously a lot of the smaller loans.
Richard Marotta: Dave, this is Richard. The only thing I would add is that that one transaction seems to be adequately collateralized at this point.
Jamie Moses: And Dave I guess I would also add on the provision. I would expect you would see the provision go up commensurate with the size of the balance sheet, moving higher as well into Q3 and Q4.
David Bishop: And then on the core deposit front, looks like some decent growth in non-interest bearing or maybe to talk about some of the core deposit trends you're seeing within the markets and maybe on the pricing front as well?
Richard Marotta: Dave, we're seeing good growth in our MyBanker and our private banking franchise. We closed six branches, deployed our MyBankers and actually grew deposits post the closing of those branches. So we're seeing that as an incredible value proposition and an alternative to traditional banking, and we think it'll give us flexibility going forward.
David Bishop: And then on the pricing front just curious, particularly on the competitive standpoint in terms of your markets?
Richard Marotta: Yes, I mean we continue to see less pressure from competition it makes as the rate cuts started to be anticipated, we saw competition sort of reduce their specials. We've reduced our specials ahead of that as well. We've come down probably 15 basis points to 20 basis points or so for the past say 15 or 20 days. And we've anticipated continued rate cut. I imagine that what we'll see is less and less competition, better and better rates over time.
David Bishop: And then one final question in terms of the organic loan growth. Just curious in some of the core markets and the newer markets like Boston and Worcester what you're seeing on the commercial loan front there?
Richard Marotta: We're seeing good activity and opportunity in Eastern Mass, Boston and in general. And we have a very robust pricing model that we adhere to and we're being selective in our deals but we certainly have good deal flow and we feel optimistic about winning our share of transactions.
Operator: The next question comes from Mark Fitzgibbon with Sandler O'Neill. Please go ahead.
Mark Fitzgibbon: Just one clarification question on non-interest expenses. I assume you're going to extract the SIFI into a strategies synergies in this upcoming quarter, should we look for non-interest expense sort of down a touch from what we saw in 2Q?
Richard Marotta: So, Mark the right way to think about that is Q4 is where we'll see the full benefit of the expenses coming, that's when conversion happens. So you will see a rise in expenses in Q3 relative to Q2 and then the decline would happen there in Q4 afterward.
Mark Fitzgibbon: And then just to clarify your guidance in the slide deck says you're projecting core EPS to 265. Does that assume any additional restructuring or merger charges or any other non-recurring items in the third and fourth quarters?
Jamie Moses: No, it doesn't include any restructuring charges or anything like that into the third quarter, or fourth quarter.
Operator: This concludes the conference for this morning. Thank you for attending today's - that concludes the question-and-answer session. I would like to turn the conference back over to Berkshire for any closing remarks.
Richard Marotta: Yes, thank you for joining us today. We look forward to speaking again in October for our third quarter call. Thank you.
Operator: Thank you for attending today's presentation. You may now disconnect.